Operator: Good day, ladies and gentlemen, and welcome to the IGT 2018 Fourth Quarter and Full Year Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. As a reminder, today’s conference is being recorded. I would now like to turn the call over to Jim Hurley, Senior Vice President of Investor Relations. Sir, you may begin.
James Hurley: Thank you. Thank you for joining us on IGT’s fourth quarter and full year 2018 conference call, which is hosted by Marco Sala, our Chief Executive Officer; and Alberto Fornaro, our Chief Financial Officer. After we make some introductory remarks, we’ll open the call for your comments.  During today's call, we'll be making some forward-looking statements within the meaning of the Federal Securities laws. Forward-looking statements are not guarantees, and our actual results may differ materially from those expressed or implied in the forward-looking statements. The principal risks and uncertainties that could cause our results to differ materially from our current expectations are detailed in our SEC filings. And now, I'll turn the call over to Marco Sala.
Marco Sala: Thank you, Jim, and good day, everyone. We are pleased to be reporting four quarter and full year results that are in line with the improved outlook we provided last October. On a currency adjusted basis, we reached the top end of our initial full year EBITDA guidance.  We delivered mid single-digit EBITDA growth on stable revenue in 2018 at constant currency and scope. Our profit also benefited from overall operating expenses discipline, particularly the optimization of R&D.  Global Lottery performance was strong and Italy was resilient, despite increased pressure on the sector. In addition, we achieved a nice recovery in our North American gaming segment. The International segment did not meet our expectation for the year based on its four quarter results. Thanks to the recurring nature of most of our revenue base and the diversity of products and geographies, we met our financial objectives despite some incremental headwinds during the year.  This included foreign exchange, higher taxes on Italy gaming machines and shifts in timing of certain product sales. Of course, we also had some unexpected benefits from elevated North American jackpot activity.  As I mentioned our global Lottery results were impressive in 2018. Total Lottery same-store revenues outside of Italy rose nearly 8%. Reflecting 5% growth in instant and draw-based games and nearly 30% increase in multi-state jackpot games.  North America Lottery performance was especially robust, with same-store revenues up 9% in the year, supported by October’s 1.5 billion Mega Million jackpot. Draw-based and instant ticket games also performed well with the same-store revenues up 5%.  Many of the jurisdictions with the highest annual per capita Lottery spending, including Florida, Michigan, and New Jersey generated strong increase confirming the long-term vitality of the business.  With the current revenue weighted average contract duration of eight years including expansion in North America, we have significant visibility and stable base to grow from.  International Lottery same-store revenues rose 3% in 2018, led by the EMEA region. The recovery in UK Lottery wagers was an important contributor to growth. Thanks to the new scratch cards and instant win games. We also had good results in the Czech Republic and benefited from the continued success of the EuroMillions game. Italy Lottery results were very good in 2018, a true testament to innovation driving growth. Lotto wagers were up 7% led by 11% growth for 10eLotto and the incremental contribution from the new MillionDAY game. We also achieved a 2% increase in Scratch & Win wagers, the second consecutive year of growth, on the successful re-launch of the Miliardario and Multiplier games. Innovation is the most important driver of Lottery growth.  We are constantly developing ways to drive industry expansion and reach a new generation of players. These efforts have earned IGT the International gaming award, Lottery Product of the Year for two years in a row. In Gaming, full year results were mixed. Total Gaming revenues were stable with prior year on an underlying basis. Encouraging progress in North America and stability in Italy were offset by lower International revenue.  Global shipments of gaming machines rose slightly in 2018. In North America total replacement unit were up more than 6% as we are completing a full refresh of our hardware and bringing these cabinets to market with better performing games. SCARAB, Solar Disc, Mistress of Egypt and the Ocean Magic Grand were among the most popular titles we sold and are currently recognized as some of the best performing games in the market. As a result, we have successfully upgraded our standing in the core video market.  This is evident in the record number of replacement unit shipment in North America in the four quarter, including and more than 20% increase to casino customers. Demand for our Crystal series cabinets and the new game content also drove higher ASPs for the four quarter and full year period.  In contrast, International gaming machine shipments were down for the four quarter and full year. This is largely due to market dynamics in Argentina and Peru and to lower replacement demand in certain European markets against the robust unit sales in 2017. This being said, it is worth mentioning that we are making headway in some important strategic markets like Australia and in the Eastern Europe. In Australia, for example, our gaming machine unit sales were up more than 25% in video. The CrystalCurve and Crystal 27 cabinets are driving this growth, particularly with successful new games Star Stax and Fortune Gong.  We will build on Star Stax’s success in Australia by introducing it to additional international markets. The recovery in the North America installed base during 2018 was achieved by executing on our main strategies. We reinforced the Wheel of Fortune Franchise with new hardware and games. We increased our commitment to multilevel progressive games.  Going forward, we intent to leverage more of our achievements in core video reel games by integrating the most impactful test banking sites and game mechanics into the premium portfolio.  The International installed based declined in 2018 due to a large South Africa conversion sales in the first quarter, partially offset by higher Greece VLTs. We’re seeing good improvement in productivity in Greece, related to the successful introduction of new fruit games in the second half of 2018. We expect to add more than 1,000 Greece VLTs in 2019.  In Italy, the installed base of gaming machines was significantly lower on the government mandated reduction in AWPs that was largely completed in the first half of 2018. Despite the unit reduction and the impact of higher taxes, total gaming machines wagers were modestly above the prior year. We managed these by improving productivity of the remaining AWP fleet and VLTs.  For many of you, new government restrictions imposed on Italian gaming sector has been frustrating. I think it is important to say grounded in the fact that player demand across all gaming verticals remains quite solid, confirming the resilience of the market. The Italy team has done a great job managing produced challenges over the past few years and delivered higher profit in 2018.  We won several high profile central casino management system contracts in 2018 around the world. While the industry pipeline of new casino openings is not as strong as in [2019], we do have important new advantage installations planned for the year. There is also considerable opportunity for us to leverage innovative add-on system products such as Cardless Connect, Resort Wallet and intelligent offer with our existing customers.  It was a year of important progress for the North American Sports Betting business. To-date IGT’s Sports Betting platform is operational in all jurisdiction that are live, 24 land-based locations across five states and mobile in three states. We also established important strategic partnership with FanDuel and William Hill. The QuickBet kiosks and CrystalBetting terminals we launched at G2E are in the regulatory certification process. We recently received approval for the QuickBet kiosk in the New Jersey and have just begun rolling them out. IGT is well positioned to continue to provide technology and services for commercial casinos, tribal casino or Lottery Sports Betting operators across retail, digital and mobile segments.  As we look to 2019, we expect to see continued [underlining] growth in our core Lottery and Gaming business. There are some specific items to consider when comparing the P&L to 2018. But the underlying business is expected to grow.  Over the last four years, we have established a solid foundation to build from securing large long-term lottery concepts, stabilizing the North American gaming business and investing in new growth opportunities like Sports Betting. All of that should result in a meaningful improvement in the free cash flow starting in 2019.  Now, I'll turn the call over to Alberto. 
Alberto Fornaro : Thank you, Marco. And hello to all of you on the call today. On Slide 8, we summarize the full year results. Revenue was stable with the prior year at constant currency and scope which reflects the sale of Double Down. This was achieved despite the reclassification of 73 million of jackpot expense as a contra-revenue item under ASC 606.  Underlying core business improvement in North America for both Gaming and Lottery and strength in Italy offset the lower International revenues. Adjusted EBITDA was 1.74 billion and 4% higher than the prior year and within the updated October outlook after normalizing for foreign exchange.  Adjusted operating income was below the prior year due to the higher depreciation associated with the long-term lottery contract wins and extension, as well as increased investment in the Gaming installed base. Our four quarter financial results are summarized on Slide 9. Consolidated revenue increased 4% in cost currency, Gaming and Lottery revenue was stable with the decline coming from certain Sports Betting dynamics in the prior year, including an exceptionally low payout in Italy and large international product sales.  Adjusted EBITDA was down 6% at cost currency primarily due to lower revenues. Additionally, higher SG&A in the four quarter was partly a result of some timing difference in various expense accruals between the two years and partly higher bad debt, legal and other personnel costs for 2018. The higher SG&A is not reflective of a structural increase in operating costs and partly reflects a higher seasonal increase. Once again adjusted operating income includes higher depreciation from recent Lottery wins as well as the upgrading of our global Gaming machine installed base.  Let's turn now to our operating segments. North American Gaming & Interactive is shown on Slide 10. Adjusted for jackpot expense reclass, revenue rose 30%. Product sales were up double-digits, thanks to 27% increase in gaming machine unit shipments coupled with higher ASPs. In fact, ASPs in the four quarter were the highest since 2015.  Customer demand for our field tested products such as SCARAB, Temple of Fire, Ocean Magic, Solar Disc and Mistress of Egypt is driving these results. Net of the jackpot expense reclass, service revenue was relatively stable. The year-over-year increase in the installed base was offset by lower yields due to a shift in the overall mix of jurisdictions and machines.  The decline in operating income is entirely due to depreciation. This includes depreciation of new cabinets we are installing as well as accelerated depreciation on older units. Additionally in the prior year we had significant contribution from high margin IP revenues.  Slide 11 shows the results of North American Lottery segment. The fundamental of this business are very sound. Same-store revenue was up over 20% in the quarter, driven by October 1.5 billion Mega Millions jackpot, the second largest multi-state jackpot ever. Same-store revenues from instant ticket and draw games, was also good, up 5% in the quarter primarily on the success of high price point instant ticket at larger customers like Texas and Michigan.  The decline in product sales is related to higher Lottery terminal sales and large Canadian VLT central system in the prior year. Product sales in the North America Lottery business are highly variable and represent a small percentage of annual revenues for this segment.  The 21% increase in operating income reflects the strong profit flow-through on robust same-store revenues that was partially offset by higher depreciation associated with recent contract wins and extensions.  Now let’s turn to the International segment on Slide 12. While the results of this segment were below our expectation, it is worth noting that the quarterly cadence of revenue and profit differ greatly in ‘18 versus 2017. We delivered much stronger International results in the first nine months of 2018, assisted by the shift in timing of the Finland contract from Q4 to Q3. As previously said, we also saw a timing shift from Q4 to 2019 of a very large VLT project in Sweden.  2017 was very backend loaded with concentration of both product sales and contract milestone driven service revenue as well as operating expense benefit in the fourth quarter. Altogether these dynamics contributed to a very significant change in a year-to-year comparison for the fourth quarter.  The Lottery same-store revenue grew by over 4%, driven by contribution from instant ticket, draw-based games and jackpot games. This underlying core growth in the business was overshadowed by the prior year benefits associated with the contract milestone driven service revenue I just mentioned.  Gaming service revenue was down for the same reason. The decline in the installed base reflects a nearly 1,500 unit conversion sale in South Africa, partially offset by growth in Greece VLT units.  Turning to product sales, we shipped fewer units to Europe and Latin America, where challenging foreign exchange rate as well as gaming taxes in Argentina and Peru impacted customer spending. This was partially mitigated by the South Africa conversion sales where the unit reached at the end of their -- almost the end of their contract. Excluding this sale, ASPs were up sharply in the period. Operating income reflects decreased revenue and the high margin mix of items in the prior year, as well as the differential timing for certain operating expenses across periods. The 119 million impairment charges we recorded in the quarter was primarily a reduction of the carrying amount of goodwill in our International segment.  Our underlying outlook for International has not changed and our expectation for growth remain about the same as before. But we are starting from a lower base with the 2018 results and is coupled with other factor, including a higher weighted average cost of capital, impacted the goodwill calculation. Italy is here on Slide 13, results continue to be strong in Italy with fundamentals continuing to improve across all core businesses. In Lottery we continued to see strengthening 10eLotto wagers which arose by 8%. Scratch & Win wagers were up 2% primarily driven by a re-launch of the Multiplier family. In machine gaming, overall wager increased once again due to strong productivity gains from both AWP and VLT machines. This helped mitigate the impact of mandatory reduction in the number of AWP, higher gaming machine taxes and certain regional restrictions. The decline in Sports Betting revenue is exclusively due to the comparison with the unusually low payout in 2017. Wager for their part were stable, and the payout realized the fourth quarter of 2018 is indicative of a more normalized level. Operating income reflects broad based wager growth with high profile flow-through partially offset by the differential Sports Betting payout and increased taxes on gaming machines.  Our debt and leverage profile is included on Slide 14. Leverage increased to 4.47 times. This was primarily due to the net of 559 million in upfront payments for the Italy Scratch & Win license that were paid during the year. Cash flow for the full year is shown here on Slide 15. Cash from operation totaled 30 million including 878 million in gross upfront payment related to the Italian Scratch & Win license. The final installment of the upfront payment related to this license was made in October 2018.  As a reminder, we have secured Scratch & Win through September 2028 and there are no significant capital demands for this license until the next tender. CapEx was 533 million coming in lower than expected range $575 million to $625 million. Gross dividend and return on capital payments to minority partners totaling 212 million were offset by 322 million in partner contribution to fund the Scratch & Win upfront payments.  Our initial outlook for 2019 is included here on Slide 16. We currently expect adjusted EBITDA of $1.7 billion to $1.76 billion for the full year period at euro-dollar rate of 1.15. Our outlook assumes underlying growth for the Core Lottery and Gaming business. As you are aware, there are several dynamics that impacts comparison with our 2018 results, this represents over 100 million in headwinds that are included in our 2019 outlook.  FX is worth about 25 million, the impact of the new Italy gaming taxes is approximately 40 million. The large Mega Million jackpot in the four quarter of 2018 provided 20 million in incremental EBITDA we do not plan to recur. The balance is the loss of the Illinois supply contract.  At constant currency, EBITDA will likely be slightly below the prior year in the first half and up in the second half. Along those lines EBITDA should be a little bit more concentrated in the second half of the year. This reflects the timing of certain product sales including the 4,000 Sweden VLTs, which are now planned for the second half. We will work to change this profile as we did in 2018 but this is our best estimate at this time.  Capital expenditure is expected to be between 450 million and 550 million with maintenance CapEx of 400 million to 500 million and growth CapEx of approximately 50 million. In terms of timing, we expect approximately 60% of the CapEx to occur in the first half of the year. The RFP for the Brazilian instant ticket and Italy Superenalotto tenders are active. Our current outlook does not include the additional investment that would be required if we secure either or both of these opportunities.  So to summarize, 2018 was a year of continued global trends in Lottery, resilience in Italy and stabilization in the North American business. We achieved our objective despite those that we had not anticipated when we said that. With no major upfront payments ahead of us, we expect to return to significant free cash flow generation in 2019.  At this point, we would like to open the call for questions. 
Operator: [Operator instructions]. And our first question comes from Carlo Santarelli from Deutsche Bank. Your line is open. 
Carlo Santarelli : Hey, guys. Good morning. If I could start, maybe Alberto, if you could maybe think about like if we go back to the end of October, you guys obviously took your guidance range up to the 1.74 to 1.8 range and it obviously provides an implication for the fourth quarter which you came in slightly below the low end of. I know you talked about it a little bit, but if you could just kind of highlight the one to two things that maybe really differed from what your expectations were at that time? I think it would be helpful. 
Alberto Fornaro: Carlo, I would say that there are two main reasons. The most important one is as I mentioned the performance in International. We were expecting higher product sales and particularly in Latin America and EMEA region, they are a little bit short of our expectation. Compared to what we said in the prior call, the SG&A is normally higher in Q4 by this time where a little bit higher for the series of circumstances that are related to some accrual that we did at the end of -- right at the end of the quarter and we didn’t factor because they were not forecasted simply at that time. They were related to some accrual that we did in the last part of the quarter; however, the bad debt was slightly higher than that. And then in general we achieved in terms of net debt a better result than what we would expect. That increased the management variable compensation as well as we had the one-off at year-end in the overall personnel cost.  So these are the two major items that were unforeseen and that are reflected in the current -- compared to our conversation we had in November. 
Carlo Santarelli: That's helpful, thank you. And then just obviously with the new guidance that you guys have put forth for 2019, you talked a little bit about some of your CapEx. I just wanted to kind of confirm that, that the Analyst Day targets that you guys laid out with respect to your annual free cash flow net of minority distributions of $450 million to $550 million are still something that you're able to stand by right now, given kind of your outlook from here?
Alberto Fornaro: Carlo, at the Investor Day in August we -- as you remember, we presented an overall framework of assumption regarding the main driver of our business. We are still comfortable with that set of assumption and the resulting improvement in the cash flow generation that we mentioned for 2019 with one exception which is related to the impact of the Italian tax -- gaming tax increase that happened at year-end.  Our assumptions were based on the expected growth of the various business segments on the profitability trends and so on, these are all unchanged. And therefore, we remain convinced that our cash flow generation profile will be significantly different from what we looked in the past three years.
Carlo Santarelli: Okay, I'm sorry. Just to confirm, with respect to the Italy, you called out a $40 million headwind. So you're saying as that -- as we think about that $450 million to $550 million of annual free cash flow net of distributions, we need to make an adjustment for the Italy piece? 
Alberto Fornaro: What I'm saying is that, that was not in the numbers at that time. That is the only change compared to that. I made a very large -- provided very large framework regarding the growth of the different business, the profitability, the cost action, that has not changed at all. 
Carlo Santarelli: Okay. And then just sorry, on that last point with respect to the $40 million Italy headwind in your guidance. That obviously is very limited mitigation in 2019. How do you think about that impact in 2020?
Alberto Fornaro: I think that the impact in 2020 will be limited. There is still a small increase in the taxes but for now it will be very, very small.
Operator: Thank you. Our next question comes from Chad Beynon from Macquarie. Your line is open. 
Chad Beynon : Hi, good morning. Thanks for taking my question. I wanted to focus on international for a second. I believe in 2018 part of the reason why North America was so strong was because of your test bank process and going back to the core product. I thought that your international approach was pretty similar. So could you just kind of talk a little bit more about what could change in 2019 for International gaming services, if maybe this was kind of a one-off year and if a lot of the learnings and successes in North America can be applied to International and have that segment grow in 2019? Thanks. 
Marco Sala: Thank you, Chad, it’s Marco. I think we are positive in regard 2019, also because next year we will benefit from the Sweden VLT. But in the core part of the business as you were perfectly pointing out, I think there is room for improvement in international market. The reasons are the following:  In Australia we did very well. We grew quite substantially and we developed a set of new games that can be sported in Asia, where we are historically quite weak and I think we can improve our performance there. The same games from Australia can be used as titles to reinforce our offering in other international markets.  In addition to that, we have a very clear strategy in the second half of the year to improve our position in the Eastern countries in Europe and we think that we will have a better performance also in the Western countries. We had a couple of geographies where we did not perform very well but we think that the programs in those couple of geographies in Europe are already showing good momentum.  More challenging will be Latin America. Notwithstanding, we believe that we can improve with our titles also in that area. Don’t forget that we will continue deploying our -- now very well performing games in Greece.  For all these reasons we believe that we will improve our performance in North America. In addition to that, to conclude of course, we will use some of the titles that are doing very well in North America also in the international markets. 
Chad Beynon : Okay, great. Very comprehensive. Thank you. And then separately with respect to the two contracts that you said are in the 2019 outlook right now, so Brazil and the Super Lotto in Italy. How you’re thinking about returns and could you just remind us on the timing of the Super Lotto contract? Thanks. 
Marco Sala: No, the timing, I mean in the next few months we’ll know about the award. And regarding the returns, Alberto can elaborate on it. 
Alberto Fornaro: We are talking about two contracts that have an upfront fee. So as we have spelled out in the past, when there is an upfront fee, the risk -- the financial risk is higher and then we tend to factor higher returns. And therefore, in certain cases, for example, we have not participated to certain bids, or normally we require an higher premium for in terms of returns overall. That’s the way we look at this opportunity.
Operator: Thank you. Our next question comes from Domenico Ghilotti from Equita. Your line is open.
Domenico Ghilotti: Good morning. I think two questions -- I have two questions. The first is on the -- follow-up on the cash generation. So if you can remind u what can be the cash taxes for '19 in order for us to say to elaborate on the bridge? And second question is on the Italian tax increases. I would like to understand what are the actions that have already been taken to mitigate the impact? I have impression that all the market is running faster to reduce the payout, so I would like to have your comments? And then my last question is on the inorganic option, so you were mentioning the Superenalotto and Brazil. On the Superenalotto I am wondering why you decided to go alone while in the past you’d be with the partners for lotteries? And in Brazil I'm wondering if you have already taken a decision on this front?
Marco Sala: Okay. I will take the answer on the bids. Let's start from Brazil, the bids are due by March 20 and as you know there is a lot to consider when investing in a greenfield opportunity like this especially when there is a significant upfront payment. Having said that, for us it’s a compelling opportunity and we are assessing it seriously with the rigorous parameters we use to evaluate any bid. So we will come up with our thinking in the next days and weeks.  Regarding Superenalotto, again, we assess every opportunity individually. In this case, we decided not to enter in any partnership and bid alone. Having said that we continue to have very strong relationship with our partners. It has been -- I mean you cannot decide bid-by-bid what is the approach you intend to have.  Regarding the question on the recovery of the tax increase, in Italy we are doing as the rest of the market. We are trying to reshape our games changing the payout for the players and this is what it will be done over the next month.  In addition to that we continue to look at our cost structure to streamline our cost in order to recover a part of the cost increase that is due to the taxation.
Domenico Ghilotti: Just a follow-up on this last point. What is embedded in the guidance that you are providing on the impact of Italian taxation? So are you expecting to recover, to pass the higher taxes by year-end or sooner? So is there any guidance you can provide?
Marco Sala: The 40 million includes the base we had defined technically. I mean we’ll do along the year but the 40 million -- are the 40 million that will impact the full year. 
Domenico Ghilotti: Yes, I was trying to understand how prudent you have been in this assumption of …?
Marco Sala: In the next calls, I will tell you. 
Domenico Ghilotti: Okay, quarter-by-quarter, okay. 
Alberto Fornaro: Domenico the only comment -- additional comment is expect that the mitigation action is going to take a little bit of time so the impact will be higher in the first quarter and lower in the future quarter because we will have the time to implement that. That’s the only comment we can make. And going back to your question regarding the cash flow, we expect the cash taxes to be a little higher than this year, but we expect the interest cash paid to be lower, okay? 
Operator: Thank you. Our next question comes from Barry Jonas from SunTrust. Your line is open. 
Barry Jonas: Hi, guys. Just -- how should investors think of the longer term risk IGT in the Italian market? And with that given you’re bidding on super and lotto, what do you think is the right mix business in Italy longer term for you? Thanks. 
Marco Sala: Well, I think that we feel very comfortable in Italy. When I look at performance over the last years, we have seen that the market is very resilient, the demand is very strong. The assets we have in the market in terms of brand, network, ability to have a strong CRM, the digital offering is giving us all the tools to deal with an increased complexity. So, I am very positive regarding the business, regarding the demand. Of course the uncertainty of the political situation cannot be factored in the next several years. But when I look at the market, at the end of the day, I look the need of the government to get this money year-after-year, I continue to be positive regarding Italy. 
Barry Jonas: Okay, great. And then just given some of the pressures on VLTs, AWPs, I am wondering if the product at some point becomes less competitive, do you think there is overlap in the player base with your other offerings in Italy, hence could you see some player shifts over time to different Gaming or Lottery products you offer? 
Marco Sala: Now, this is a very good question, Barry. The fact -- I have been monitoring the Italian market for 15 years. As a matter of fact, if you look at the evolution of the Italian market, all the new regulation provided additional wagers and revenues for the government and for the operators with a very minimal cannibalization. Reality is that the target of the players are different and if and when you’re a player that is playing more games, they do following different attitudes, and they tend to sum their behavior instead of making choices. And it happened when there have been the digital offering, it happened at the time of the gaming machines and we’re monitoring the trends among the different players and we see that there is a good different positioning about the games and when the games are overlapped the players are playing the games with different attitudes that are for using a very minor cannibalization.
Barry Jonas: That's helpful. And then last one from me. Like you've said in the past you could see increasing capital returns once 4 time leverage is in sight. So now with the license fees, Italy complete and having good visibility into free cash flow generation from here, do you have a better sense when that may be?
Marco Sala: I mean, we have said we’ll be progressive. We will see how things will move forward. Now you understand we also have some of these in. It also will depend on this opportunity of growth that we have if we decided to take them or not. So I think what is going to be important is to start the deleveraging, start reducing the debt and improve our profitability to get there as quickly as possible. That is our target.
Operator: Thank you. Our next question comes from David Katz from Jefferies. Your line is open.
David Katz: Hi, good morning everyone. Alberto, I just wanted to talk a bit more about the cadence of cash flow this year. I think in your prepared remarks, you said that more of the CapEx would be front loaded this year, and the EBITDA might be a bit more backend loaded. Could you maybe give us a bit more color on the cadence of those two please?
Alberto Fornaro: Regarding the CapEx I said is going to be the first six months 60%. And then regarding this year, is at the beginning similar to what we said the last year that we see an increase in the EBITDA in the second half.  In 2018, we were able during the year to improve and to accelerate some of the deals and the transaction that allow us to reduce the kind of seasonality. We will try to do the same but that is where we are today. Obviously I have a more visibility on the CapEx because we work according to schedule that regarding what we can do on EBITDA. I think that also, let me anticipate probably the minority, some of the minority payments that normally are done in the second quarter could be done in the first quarter and they will not -- but it doesn't mean that there is anything else than timing at this point regarding this payment. So I would suggest to look for the cash flow as our -- for the different components what we see for the full year other than the focus on the first half.
David Katz: Understood and just one follow-up, given the heightened focus on cash flow and the prospects for capital return, I hope you don't mind if I take one more swing at that, which is if I'm hearing correctly, the growth opportunities that are out there are really the one variable or barrier to you being able to start returning some capital, more capital sooner rather than later. There is no other barrier out there that we should be contemplating, correct?
Alberto Fornaro: No, I mean we anticipated what we are -- what is our forecast in general for the cash flow consistent, with the assumption that we had and nothing has changed compare like that. We kept regarding the leverage, we kept out the growth CapEx because simply it cannot be forecasted and right now, what we are seeing are the two opportunities we just mentioned, which is the Superenalotto and Brazil. So this is it, no change. 
Operator: Thank you. [Operator instructions]. And our next question comes from Cameron McKnight from Credit Suisse. Your line is open. 
Cameron McKnight: Hi, good morning. Thanks very much. A question for Alberto first. In terms of thinking about 2019 levered free cash flow, how should we think about working capital needs in 2019, do you expect working capital be a source or use of cash?
Alberto Fornaro: I expect to be more or less neutral so far, that will be my expectation. This year in the first nine months we had a series of items that impacted negatively, some of which were related to the commercial services in Italy. So, we not expect that happens for next year, so think about the net working capital as neutral. We have some initiatives that partly have generated some benefits. Also this year we have used our inventory, we have streamlined our supply chain. So that is what is driving my forecast for 2019 on working capital. 
Cameron McKnight: Okay, so thanks. And then on the North American Gaming business, the accelerated depreciation of the older units, have you decreased the useful life on participation units generally or is that just a group of units that you’ve chosen to effectively get down to zero or some lower level?
Alberto Fornaro: As you can imagine, with the change in the cabinets and the change in the content obviously we are replacing some of the machines with the new title and the new cabinet. And so in certain cases for the old ones we have decided basically at the end of life of the product to basically take a charge and move on. 
Cameron McKnight: Okay, sure. And then thirdly a question for Marco. Would you mind commenting on the change in the DOJ’s opinion on the Wire Act, particularly as it pertains to Powerball and Internet lottery sales? 
Marco Sala: Okay, Cameron I will provide you our view on the overall DOJ opinion and our understanding is that the intent of the opinion was to clarify DOJ’s position on interstate Internet-based wagering. However as written the opinion might potentially apply to a much broader scope of gaming activity. It might even encompass technology infrastructure used to support traditional retail based Lottery and Gaming transaction. And as you were saying also multi-state and WAPs that did not exist in 1961 where the Wire Act was enacted. Several lawsuits challenging and seeking clarification of the DOJ opinion have been filed. DOJ recently extended its regional non-prosecution period 60 days to June 14. We are evaluating the opinion and monitoring the lawsuit and industry response to it. We are also engaging with customers and other members of the industry to understand the potential impact on our businesses and to determine the best course of action and that is all I can say at this juncture.
Operator: Thank you. And our next question comes from Joe Stauff from Susquehanna. Your line is open.
Joe Stauff: Thank you, good morning. I wanted to ask on North American Gaming in particular in the fourth quarter, replacement unit sales were up huge, right? The numbers in terms of just both the installed base were up as well as unit shipments. But the conversion into revenue, with revenue being down, can you just talk about that relationship and how to think about the model going forward, especially in 2019 with an improvement in your North American Gaming segment, in particular product sales?
Alberto Fornaro: Alberto here. When you look at the revenues of the North American Gaming, first of all you need to consider that in the comparison year-over-year we have $50 million of revenues that are due to an accounting reclass for the ASC 606. What it really mean is that revenues are up 3%. The revenues for terminals sold are up significantly, the units were up 27%, we had better ASP, so revenues are up to 34% in the quarter. Last year we had in the systems and in the other parts of our business in North America higher revenues than now. That's why you don't see the full impact of the increasing terminals in the bottom-line. But again on the system side it could be erratic from quarter-to-quarter the overall revenue. That's why we feel very positive about the performance of the North American Gaming in terms of revenue.
Joe Stauff: And I guess following up on an earlier question regarding working capital. With the turn basically in North American Gaming, would you expect basically working capital to be a source of cash from this segment in particular, but I guess your commentary about flat working capital for the year is -- offsets another part of your business, is that fair to say?
Alberto Fornaro: What I was implying is the following:  First of all, we have -- the working capital is impacted by the different business model of our businesses. So in Italy, it’s -- it moves, it fluctuates. But in the gaming business, normally the working capital is linked to the overall volume. So, again, we mentioned that we are expecting some growth for next year. So I would expect the working capital to go up but because we have taken several initiatives to streamline our supply chain, overall, we think that the working capital could be stable on a year-over-year basis. 
Joe Stauff: And I guess just kind of one follow-up, I know again it’s been asked a couple of times. But I just -- Marco, if you could just comment a little bit more maybe -- or maybe I’ll just take a different angle on the mitigants in terms of the tools that you have at your disposable in Italy, obviously on AWPs and VLTs those take time as you suggested, does it take six months, are you able to implement some of the mitigants earlier, maybe on the AWPs or -- and again just relative to that Italian headwind of 40 million, if we assume no mitigants, what would that number look like?
Marco Sala: Higher. No, I am joking. The -- now, Alberto will tell the number. But talking about the way, the main stream to reduce the impact comes from the fact that you change the payout of the games. On AWPs, to do that you have to change the motherboard. For the VLTs, it’s easier and faster because you can download it from the central system. But it takes months, it does not take years, it’s something that you have to look progressively over the months and we are very active and consider that we have already done in some occasions. So this is the best answer I can provide. And of course you are also trying to intervene with the best features in the game structure in order to minimize that section for the player of the reduced payout, because that is the challenge and we have been successful in doing that in the previous cases, where we maintained reality, the demand at the same level notwithstanding a decrease in terms of payout.  And as I said before we are trying also to look at all the structure of our costs when we serve our distributor or the overall supply chain trying to optimize the situation accordingly to the new profile on profitability of the game -- of the business. 
Operator: Thank you. And we’ll take our final question from Domenico Ghilotti from Equita. Your line is open. 
Domenico Ghilotti: Yes, I have a question on the leakage that you have out of P&L on the minority that is growing per year. So I am wondering if in this year -- so in 2018 number, there is also significant contribution from the strong performance of the North American Lottery. So if I should expect -- so if you can provide any indication for ‘19 or if you can speculate from the 2018 number the exceptional part? 
Alberto Fornaro: I would say that the major driver Domenico is the performance of the Lotto, it’s clear if the Lotto of continue to perform very well, we will see -- and continue to grow, we will see the component of the minority in terms of their portion of the dividend of the units to go up. That is the main driver.
Domenico Ghilotti: So, it could continue to go up if the Lotto is performing as well as in the past few years?
Alberto Fornaro: That is what has happened in the last two years. That has grown above over our expectation and therefore it's having an increase on minority.
Domenico Ghilotti: Okay. And just the last question. You are currently clearly introducing so the new -- in Italian market the new machines. I'm trying to understand what is the level of payout in VLTs in particular that you are testing on the market, just to understand what is initial, say, assumption or initial step that you are doing?
Alberto Fornaro: Honestly I do not know the number there. What I know is that the first feedback I am receiving from the Italian team is that the products are performing quite well and they’re improving the quality and the performance of our offer. So we are pretty satisfied with what we have done so far.
Operator: Thank you. And that does conclude our question-and-answer session for today's conference. I’d now like to turn the call back over to Marco Sala for any closing remarks.
Marco Sala: Thank you all for your question and for your interest in IGT. 2018 was a year of good progress in reinforcing our positions in the growing global markets we are operate on. We look forward to updating you on our efforts on our next call in May. With that, I wish you all a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone, have a wonderful day.